Operator: Good day. And welcome to the American Woodmark Corporation First Fiscal Quarter 2022 Conference Call. Today’s call is being recorded, August 31, 2021. During this call, the company may discuss certain non-GAAP financial measures included in our earnings release such as adjusted net income, adjusted EBITDA, adjusted EBITDA margin, free cash flow, net leverage and adjusted EPS per diluted share. The earnings release, which can be found on our website, americanwoodmark.com, includes definitions of each of these non-GAAP financial measures, the company’s rationale for their usage and reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures. We also use our website to publish other information that maybe important to investors, such as investor presentations. We will begin the call by reading the company’s Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that maybe beyond the company’s control. Accordingly, the company’s future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company’s filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. I would now like to turn the call over to Joachimczyk, Vice President and CFO. Please go ahead, sir.
Paul Joachimczyk: Good morning, ladies and gentlemen. And welcome to American Woodmark’s first fiscal quarter conference call. Thank you all for taking time today to participate. Joining me today is Scott Culbreth, President and CEO. Scott will begin with a review of the quarter and I will add additional details regarding our financial performance. After our comments, we will be happy to answer your questions. Scott?
Scott Culbreth: Thank you, Paul. And thanks to everyone for joining us today for our first fiscal quarter earnings call. I hope that you and your loved ones continue to remain safe, as the country begins to manage the growing number of COVID cases related to the Delta variant. Our teams did an exceptional job of delivering sales growth in the quarter, but our margins were once again pressured by materials, logistics and labor inflation. Improved productivity, increasing production levels and the second round of pricing actions have been announced or are in process that will deliver additional margin improvement in the second half of our fiscal year that I will provide additional details on in a few minutes. Our first quarter sales were up 13.5%. Demand once again continued to outpace production in the quarter across all platforms. Our ability to match demand remains limited by two factors, labor and material availability. Material shortages led to unplanned downtime and efficiency loss and substitutions were made when available to continue production. Container challenges also persist with higher rates in air freighting at times due to port congestion. Backlog increased across our made-to-order platform with incoming order rates increasing over 25% plus versus the prior year. As a reminder, we level load our production on the made-to-order platform. I mentioned last quarter that our incoming order rates across both the new construction and remodel businesses exceeded shipments for the quarter and that our teams are increasing production levels, which would drive incremental sales in our first fiscal quarter as we improve backlog levels. Incoming orders again exceeded shipments in our first fiscal quarter and we did not make as much progress as planned in reducing backlog. In fact, backlog increased significantly as we struggled with labor traction and retention, impacting our ability to increase production. Going forward production levels will continue to increase and drive incremental sales over the next few quarters. Our teams will continue to invest in production capability, the outsourcing staffing additions and productivity improvements. Within new construction, our business grew 8.5% versus prior year. Our Timberlake direct business comped positive low teens in units while our frameless PCS business comped positive in units over 20%. These growth rates were partially offset by mix with our Origins product positioned at lower price point than our core Timberlake offering. Demand and backlog in the coming months are expected to increase as many of the builders are attempting to close the unprecedented number of homes that were started in calendar Q2 before their fiscal year closes in calendar Q4. This anticipated increase in desired closings from all builders late in the year is going to continue to put pressure on the capacity of all finished trades in the upcoming months. Looking at remodel business, which includes our home center and independent dealer and distributor businesses, revenue was up 17.1% to prior year. Within this, our home center business was up 20.3%. Our made-to-order remodel business continued to improve with 20% plus comps. Our stock business performed well as pro and DIY demand drove comps in the high teens. With regards to our dealer/distributor business, we were up 6.3% for the quarter. Demand has remained strong across both remodel and new construction channels, especially within the value segment. Our adjusted EBITDA was $32.1 million of EBITDA margins at 7.3% for the quarter with reported EPS of $0.18 and adjusted EPS of $0.70. We expect the new construction remodel markets remain strong and anticipate growth to continue for the remainder of our fiscal year. We are positioned to take advantage of this market, as consumers invest in their homes and existing home sales and single-family starts remain healthy. Lot supply, interest rates and overall price appreciation in new construction may impact demand in early calendar 2022, but long-term growth remains solid. Should the short-term reduction in demand impact the market, our backlog will allow us to maintain a higher production level. I shared last quarter the cost of goods sold inflation expectations for the fiscal year included an additional approximately 2.5% to 3% for material and logistics on top of what was already realized in fiscal year 2021. The impact is more than double that for our current estimates. We will be able to recover inflation via price increases, but note there is a lag between incurred inflation and realized pricing. As stated previously, we are taking additional action in the current period across all channels. We will improve margins in fiscal year 2022. Pricing has not kept pace with inflation in the past few quarters due to our elevated backlog, and unprecedented materials and logistics increases, but we will be in better alignment by our fiscal third quarter, with full realization of all pricing in the fourth quarter. Many of our actions are effective 10/1, which will place additional pressure on our fiscal second quarter adjusted EBITDA margins. Keep in mind that we only realized approximately $3 million of impact in the first quarter of fiscal 2022 for pricing. At our current sales levels we expect the impact of our confirmed pricing actions to increase in the second half of fiscal 2022 to over $25 million per quarter. Additional efforts are also underway within our operations teams to improve productivity and increase production levels. Sequential margin improvement is forecasted for each of the next three quarters with our fiscal fourth quarter comping positively versus the prior year. The Board and our team firmly believe in the long-term potential of this business and the strategy I shared during our May call is unchanged. Investments will continue in our digital online capabilities and products where we focus our efforts on the enablers of customer experience, platform design, talent and ESG efforts. All of these will contribute to incremental revenue growth and improved margins. In closing, despite our financial results not matching the level of effort our teams are putting forth this quarter, I am proud of our employees for what they have accomplished and I look forward to their continued contributions. I will now turn the call back over to Paul for additional details on the financial results for the quarter.
Paul Joachimczyk: Thank you, Scott. Financial headlines for the quarter, net sales were $443 million, inclusive of $3 million of price, representing an increase of 13.5% over the same period last year. The combined home center and independent dealer/distributor channel net sales increased 17.1% for the quarter, with home centers increasing 20.3% and dealer/distributor increasing 6.3%. The remodel business continues to have strong tailwinds for both our made-to-order and our made-to-stock channels. Home owners having greater equity in their homes than historical amounts and the demand from the first time homebuyers suggest this trend will continue. New construction net sales increased 8.5% for the first fiscal quarter compared with the same fiscal quarter in the prior year. Timberlake direct business comped positively for the quarter and we are still experiencing growth in our Origins line, as there is a continued mix shift occurring towards a lower priced product in the market. We are experiencing a delay from the builders and their ability to receive our cabinets, and are building a finished goods backlog. This is impacting our inventory levels. Our frameless business continues to grow and has built a backlog of orders during the past two quarters due to logistical and supply constraints on the West Coast. New construction sales were above market completions during the first quarter of fiscal 2022. We are experiencing a 90-day to 120-day plus lag between start and cabinet installation. The overall market starts in single-family homes were up 47.6% for our fiscal first quarter. Looking at completions during our fiscal first quarter, we saw a 4.7% increase year-over-year, which further supports timing impacts the market is experiencing. Net income was $3 million or $0.18 per diluted share in the current fiscal year versus $16.1 million or $0.94 per diluted share last year. Net income for the first quarter of fiscal 2022 decreased $13.1 million due to an additional $5 million of healthcare expenses and the rapidly evolving inflationary pressures outpacing our pricing actions taken across all of our channels. Material and logistic inflation was approximately 220 basis of sequential pressure within the quarter from our last -- from our fiscal fourth quarter of 2021. Given the increased backlog of our products, there is an inherent lag in the realization of our pricing actions that we have executed to offset the first round of inflationary pressures we experienced in fiscal 2021. Adjusted EBITDA for the first fiscal quarter was $32.1 million or 7.3% of net sales, compared to $56.4 million or 14.5% of net sales for the same quarter of the prior fiscal year. The company’s gross profit margin for the first quarter of fiscal 2022 was 12.1% of net sales versus 20.4% reported in the same quarter of last year. Gross margin in the first quarter of the current fiscal year was negatively impacted by an increase of $4.4 million of healthcare costs and the rapidly evolving inflation in material and logistics input costs. These input costs were partially offset by the increase in sales, which created leverage of our fixed costs of our operating platforms and an accounting adjustment to move the total company to account for inventory on a FIFO basis. The movement to FIFO was done to be consistent with our peers and to standardize our approach for the total company. In addition, it will help facilitate our transition to the cloud-based ERP, which impacts our finance and procurement teams, and is slated to go live February of 2022. Total operating expenses were 10.5% of net sales in the first quarter of fiscal 2022, compared with 12.8% of net sales for the same period of fiscal 2021. Selling and marketing expenses were 5.2% of net sales in the first quarter of fiscal 2022, compared with 5.1% of net sales in the same period of fiscal 2021. The ratio to net sales increased 10 basis points resulting from the increased display, launch and healthcare costs, partially offset by the leverage created from the higher sales in the first quarter of fiscal 2022. General and administrative expenses were 5.4% of net sales in the first quarter of fiscal 2022, compared with 7.7% of net sales for the same period of fiscal 2021. The decrease in the ratio was primarily driven by the leverage from higher sales, lower incentive costs and reduced spending in the first quarter of fiscal 2022. Free cash flow was negative for the quarter totaling $8.1 million for the current fiscal year, compared to positive free cash flows of $32.2 million in the prior year. The decrease was primarily due to changes in our operating cash flows, specifically, lower net income, higher inventory balances, lower accrued expenses, which was partially offset by improved accounts receivable balances. Net leverage was 2.35 times adjusted EBITDA as of the end of the first fiscal quarter. The company paid down $29.1 million of total debt during the quarter, and in addition, we repurchased $25 million or 300,000 shares within the first fiscal quarter. Shifting our focus to the remainder of fiscal 2022, we expect full year fiscal 2022 sales to be mid-to-upper single-digit growth over the prior fiscal year. The growth rate is highly dependent upon overall industry, economic growth trends, material, logistics and labor constraints, as well as consumer behaviors that can be impacted by the ever changing COVID-19 environment. Margins will be continued to be challenged for the next two quarters, however, our expectation is that margins will improve sequentially throughout the remainder of the year. Our fourth quarter of fiscal 2022 will be our highest margin for the fiscal year, comping positively from both the prior year and the prior quarter. All pricing actions will be fully executed by this time and are expected to offset all known material and logistics inflation effects that we have experienced through the first fiscal quarter of 2022. We are in the process of executing our next round of price increases across all of our sales channels. Historically, it takes three months to four months to realize price on our made-to-stock platform and five months to six months on our made-to-order platform. For the next round of pricing actions, we’re being more aggressive on the timing to realize. The trend of higher inflation could pose a future risk to this outlook, as we still do not know the full impact of the pandemic and we are managing the macroeconomic factors that remain unstable. The company’s cash position as of July 31, 2021, was $27.8 million of cash on hand and access to $243 million of additional availability under our revolver. In fiscal 2022, our first quarter performance impacted our normal expectation of free cash flow for the fiscal year. Due to timing delays of capital projects related to supplier constraints and the extended timing of our ERP project, we are revising our full year capital spending outlook to be 3.5% of net sales versus the 4% previously stated. Our team members continue to make it happen daily. This has been a consistent trend throughout the past 18 months. Thank you to all of our employees for their continued passion and making a difference. They’ve helped contribute to our topline growth, while working to offset the ever increasing inflation of materials and the difficulties in logistics. We will stick to our plan, reinforce our pricing actions and continuously improve our operations to return to our targeted margins. This concludes our prepared remarks and we will be happy to answer any questions you have at this time.
Operator:  Our first question comes from Garik Shmois with Loop Capital. Please go ahead.
Garik Shmois: Oh! Great. Thank you. Thanks for taking my question. First off, just trying to reconcile the pricing that you secured in the quarter the $3 million, how did that track relative to your prior expectations? It seems like it might have been a little bit light to us. And if so, was that more of a function of just the lag in pushing through the price increases because of the lag and completions versus starts or were there additional challenges in putting a price increase through to your different customer channels?
Scott Culbreth: Yeah. So the Delta in Q1, that was below our original expectations, when we were thinking about modeling at our first quarter. It wasn’t due to the percentage that we wanted to achieve in the respect of channels and by customer. It really was tied to an increasing backlog. So we negotiated the increases as expected. We got the percentages that we expected. But actually realizing it and delivering those cabinets at that newer price was pushed out. So as a result, we only realize the $3 million inside the quarter that rolls forward, obviously, into the future quarters and we’re realizing at that time.
Garik Shmois: Got it. And then the $25 million in price improvement in the second half of the year, 3Q and 4Q, you addressed this a little bit in your prepared remarks. But is it fair to assume that really does not assume much of the October price increase, just given the lag in implementing additional pricing?
Scott Culbreth: So it does include a small amount of the October actions, as I mentioned. But let me take a step back, we had our initial round of pricing, let’s call it, round one that we went through. And it does vary depend on the channel when you go achieve that, that plus a second round that we’re in the midst of doing now. Now with regards to the second round actions, we’ve already executed that in one of our channels. Two of our channels we will be getting notification tomorrow regarding that next round of pricing action. So it’s a bit of a hybrid, the 25 million includes all first round actions, including that one channel, I mentioned, that we’ve already communicated to them a second round. And then we’re expecting incremental pricing that will be realized really late Q3 into Q4 for this next round of actions.
Garik Shmois: Great. And then just my last question before I pass it on, on the cost side, can you elaborate a little bit more on what you’re seeing their specifically related to transportation costs? And then also just on the hardwood side, any visibility as to when those costs might potentially start to offer some relief?
Scott Culbreth: Yeah. So we’ve not yet seen any relief, I will address that one first around hardwood. We continue to see an increasing trend there and as software has just taken a tumble and our hope was that we would see hardwood follow that that’s not yet occurred. So we still have expectations that that’s going to continue to run high. Regards to transportation, truly two different stories, there is import transportation related impacts and then there’s domestic transportation related impacts. On the import side, certainly, you’ve seen all the issues that have played out in Asia that’s created various challenges with getting product to the U.S. It’s resulted in container rates that are 4 times, 5 times, 6 times historical norm. So getting product here is more expensive than normal. Then you get it to the port, you deal with congestion delays there. Sometimes you have to expedite and then you’re challenged with getting domestic freight carriers to haul it for you and you see a price increase there as well. On the domestic transportation side, similar to the challenges we have and many industries have around labor, transportation is also struggling on the labor side. So they’re running short handed, and as a result, we’re seeing rate increases for final mile delivery, as well as any interplant shipments that we coordinated ourselves.
Garik Shmois: Okay. Thanks for that and best of luck.
Scott Culbreth: Thank you.
Operator: The next question comes from Collin Verron with Jefferies. Please go ahead.
Collin Verron: Hi. Thank you for taking my questions. I was just curious on the sales expectations for the full year you guys -- how much of that is going to be from pricing versus, I guess, volume growth? And then any colors you’re seeing any large very or you’re expecting any large variances by customer?
Scott Culbreth: Yeah. Maybe I will take the last part first that. I wouldn’t say that I am seeing the large variances by customers. I think about our performance forward. I don’t see any variation necessarily by channel. I expect all of our channels to continue to perform strong, deliver growth as we push forward. As my prepared remarks indicated, even if you were to see a small step back, perhaps, in a channel or customer, we’ve got plenty of backlog to continue to drive that through our platform and continue to deliver a good robust growth rate. On breaking out pricing precisely, I don’t want to get to that level of granularity, but certainly have given you a lens around $3 million this quarter, $25 million a quarter in the back half. Certainly, we have expectation for delivering incremental pricing with the announcements that will push out tomorrow. So, pricing then will be meaningful on a full year basis for the business.
Collin Verron: Okay. Thanks for the color. And then just in terms of what’s baked into that sales guidance on -- from the labor, material shortage perspective. Are you baking in any relief as we move through the rest of the year or are you kind of expecting things to continue as is right now?
Scott Culbreth: Yes. It’s a great question. So around the labor side and capacity, let me take a couple of minutes to maybe share a few remarks there, because that is one of the biggest challenges we are modeling and an improvement in our output across our platforms. As we think about our labor environment, your retention is what come front and center, and our current reality today is that, the economic environment continues to create challenges not only in our business, but all of manufacturing, many other industries around, labor availability, as well as attraction and retention. We do have some optimism. However, there was stimulus payments ending here at the beginning of next week that perhaps that becomes a tailwind for employment as opposed to a headwind. We’re seeing on our platform, of course, increasing demand, which creates challenges in the workforce. We’re seeing material availability challenges. What’s that all yield overtime, right? So we wind up putting more overtime on our teammates, which results in lower job satisfaction. So, with all that said, what are we doing to try to impact that? How can we make change to drive increased employment levels and then higher output levels? Well, we’ve looked at hourly bonus plans and making modifications there. We’ve modified wage plans and then signing bonuses, retention plans, attendance plummet plans or referral plans, you name it, we have deployed, we continue to use and modify and sometimes those are different depending on location what our issues are. We’re also looking at evaluating and expediting new plant schedules and maybe even shifts. So as an example, our made-to-order business, we’ve never really run a 4/10 model, because we’re so integrated. We are testing and exploring that and some of our areas we have a couple of smaller sales in one of our plants. So that might be an option that makes us more attractive versus competition. We’re also looking at other work schedules, schedules for semi-retired parents, with childcare challenges, et cetera. Early on are we seeing any benefits from that? I guess the two things that point to is, is although U.S. manufacturing turnover data is remains high, right? You look at that data, it’s still very high. It does seem to be leveling off. So it doesn’t seem to be increasing. It’s maintaining. So I will take that is a positive at this point. And then, secondly, on our business, we are starting to see a reduction in new hire attrition in the first 60 days. So that hiring of our labor teammates within the first 60 days is one of our most critical timeframes and we’ve seen a reduction in attrition in that group as of late. So that’s -- I know, that’s a long answer to your question, but it’s a meaningful one, and yes, we are modeling an improvement in our labor employment levels and an improvement in production.
Collin Verron: Great. I appreciate you taking my questions.
Operator: The next question is from Julio Romero of Sidoti & Company. Please go ahead.
Julio Romero: Hey. Good morning, Scott and Paul.
Scott Culbreth: Hey. Good morning.
Julio Romero: So you mentioned you expect your new cloud-based ERP to go live in February of 2022. Can you speak to the benefits expected both from a financial standpoint, as well as from a strategic standpoint?
Scott Culbreth: Yeah. Julio, great question. So that -- the first way to this just remind everybody to it’s our finance and our procurement. It is a multi-wave the journey in a vision that we have to get the company to really be one operating company and fully integrated. The benefits that we see kind of in the first wave is really the consolidation of our platforms and looking at the expectations, there will be some synergies that will leverage between the two platforms, mainly on the G&A side of things. And then looking at our procurement side to enhancing and really evaluating our overall performance between those two purchasing powers of the two halves of the legacy on our site business  and the legacy Woodmark businesses. Now, as far as, giving you an exact range of those benefits, we haven’t given that guidance out there yet. There is significant synergies and savings that we will achieve as the overall ERP when it is fully done through our final wave of the scenarios. But our first wave will implement will be some moderate savings out there.
Julio Romero: Understood. And then just -- I took a look at your most recent slide deck on your website, which lays out some of your 2025 vision in greater detail and one of the pillars there, I guess, is customer experience. Can you speak to what strategies you’re using -- you’re looking to utilize to create a competitive advantage there?
Scott Culbreth: Yeah. Absolutely. And customer experience is not a new differentiator for us. I know us characterize as an enabler as part of the strategy communication back in May and then also what’s on Investor Relation deck. But it’s been a core part of the last three vision cycles we’ve had in the company. But what does it mean, right? Ultimately, it’s a differentiator that we want to use to be able to exceed our customer expectations. Things like packaging, right? How robust and effective is our packaging and protecting the product to make it to the job site or the consumer home? Damages, right, so not only is the packaging robust, but when you open the package is the cabinet damaged, right? And does that create an issue for you, again at either remodel or new construction job site won’t be able to address that. Things like star ratings, certainly with our retail partners, star ratings are important. And what can we do to continue to manage and increase it improve star ratings for our product, specifically? And then, finally, I guess, that hit response times and lead time? So how quickly can we fulfill orders and get product to your job site or again to your home for remodel standpoint. Those are going to be really critical and we think those are things that will allow us to keep gaining share in our current business lines, as well as with our pro customers.
Julio Romero: Understood. Thanks taking the questions.
Scott Culbreth: Yeah. Thank you.
Paul Joachimczyk: Thank you.
Operator: The next question comes from Steven Ramsey with Thompson Research Group. Please go ahead.
Steven Ramsey: Hi. Good morning. Maybe just kind of start with the challenges in the market, still demand strong, but curious to hear if you think peers are having the same issues maybe to the same degree and if there’s any share shifts going on?
Scott Culbreth: Yeah. I am not sure there’s been any meaningful share shift Steven in the marketplace. What I would go to as a way to indicate performance from the peer side would be lead times. So what are manufacturers communicating as lead times in the various channels. So, certainly, you can get exposure to that in our retail and dealer channels and consumer channels pretty effectively and we’ve seen really across the Board elevation of lead times. So folk continue to pump out lead times because they have similar challenges, right? We hear things like labor challenges. It appears we hear about material issues as well at peer set. So lead times had moved out pretty consistently across the Board, we still believe we provide an advantage against most of those lead times in the markets that we participate and channels that we participate, but I don’t think there’s been any meaningful share shift.
Steven Ramsey: Okay. Great. And then, secondly, I wanted to think about backlogs by channel with demand strong in both channels. Does the greater backlog point to greater strength in one channel or another and how does that mix impact margins? And then, secondly, with the price increases that are coming through? Well, those have a bigger impact than maybe what you expected earlier in the year, given these higher backlogs would go through at be sold at the higher prices?
Scott Culbreth: Yeah. Let me unpack a couple of different questions there. So certainly our pricing actions that we’re taking expect to realize, are much more meaningful than what we would model 100 days ago when we were thinking about the fiscal year and that’s been a function of the increased inflation. So we’ve definitely done that. Specifically to your questions around backlog, no material differences I see it across channels or customer. Backlog is elevated across the Board. We see robust demand from all channels and customers, so really no differentiation from that standpoint. I think your next question was you were trying to indicate with that drive, would backlog relief, if we prioritize one channel versus another? Is that different based on perhaps pricing and margin? Theoretically, yes, because there is a different margin profile around each of the channels that we’ve got, but we’re managing to try to keep sat -- we’re trying to keep all of our customers as satisfied as we can across each of the channels. So if we’ve elevated lead times, we’ve had to do that across each of the end markets, as we reduce backlog and we will do that and apply that across each of the markets, because we want to maintain our customers, and obviously, back to the customer experience, provide a positive customer experience for each of our accounts. But we will see the -- we will see strong backlog, we will be working to reduce the backlog and as we do that we realize the pricing. Now, maybe the last point it was perhaps nuanced in there was, is there anything different around backlog and timing, and our ability to recover pricing? That’s kind of a completely different question. Paul alluded to this a bit. As we go through our more recent pricing actions, we’re trying to work pretty aggressively with our customers and partners on how we can realize pricing faster, right? So does it have to be start date and new construction as opposed to installing ship date. Do we need to have a robust notification period or can we shrink that notification period. So that’s where there’s opportunities to recover the pricing faster and we’re pursuing that. And as a result, we will be able to get some pricing on some of that backlog a little bit faster.
Steven Ramsey: Excellent. Thanks for that color.
Operator: The next question comes from Josh Chan with Baird. Please go ahead.
Josh Chan: Hi. Good morning, Scott and Paul. Thanks for taking my questions.
Scott Culbreth: Good morning, Josh.
Paul Joachimczyk: Hey, Josh.
Josh Chan: Good morning. I just -- I guess to start off with a clarifying question about sort of the full run rate of the price increases. So when you say $25 million per quarter, does that comprise of something lower in Q3 and then with the higher number in Q4 or should we think of it as fairly even kind of through the back half?
Scott Culbreth: Really even for the confirmed in the back half, Josh?
Josh Chan: Okay. Okay. That makes sense. And then, I guess, when you talk about being able to drive margin improvement in Q4, I mean, does that require your price to exceed your raw material inflation? Because, I guess, mathematically, even if you match dollar for dollar, you still have a margin percentage headwinds on, I guess I am just wondering, what you’re assuming in Q4, when you say you can drive margin improvement year-over-year?
Scott Culbreth: Yeah. So, we obviously, do want to get the incremental pricing that we spoke about. It’s not about getting pricing above and beyond what we’ve incurred is inflation. So the other factors that are going to be driving an improvement margin for us would be specifically around productivity improvements. So running our operations more effectively and it’s everything you can think of Josh. It’s going to be scrap reduction, it’s going to be overhead spending, it’s going to be labor efficiency rates, et cetera. So we’re going to be driving more productivity, as we get into Q4 and we’re going to be at a higher sales rate as well. So as a result, our expectation is that we will be able to leverage across our fixed costs with those higher sales.
Josh Chan: Okay. Yeah. Yeah. That makes sense. And then, I guess, last one for me, I know that you’re guiding to the full year, but is there anything even qualitative you can give us in terms of how you’re thinking about that the sequential margin improvement in Q2 and whether it’s going to be similarly challenged to Q1 or the degree of improvement, that will be helpful? Thank you,
Scott Culbreth: Josh, I am surprised it took five parties to first ask that question. I expected…
Josh Chan: Yeah. You have…
Scott Culbreth: …to see very first round. So you were the first one to bring it up. So, let me frame it pretty specifically, right? And again, these are models and forecasts, but as we look at it, we’re expecting margin to improve sequentially 50 basis points to 100 basis points each of the next two quarters. So we expect an improvement into Q2 and improvement again into Q3 and then a more meaningful improvement as we move into Q4, and that will put us back into double-digit low-teen EBITDA margins.
Josh Chan: That’s great. Yeah. That’s great color. Thanks and good luck to the rest of the year, guys.
Scott Culbreth: Thanks.
Paul Joachimczyk: Thanks, Josh.
Operator:  The next question comes from Adam Baumgarten with Zelman. Please go ahead.
Adam Baumgarten: Hey. Good morning, guys. Thanks for taking my questions. Just on that strategy you guys talked about compressing the time it takes to raise pricing? Can you give us a sense for what you think the ultimate opportunity is, are we talking a matter of maybe a couple weeks, could it be a month plus, maybe if everything goes right, how we should think about, because I think the range is three months to six months depending on the product category? But what do you think the ultimate opportunity is to shrink that going forward?
Scott Culbreth: Yeah. We’re trying to take a couple of months out of that cycle.
Adam Baumgarten: Okay. I guess it’s meaningful. Just next, just on the CapEx, lowered for the year, is that just primarily a push out or is 3.5% a good number of yields going forward or some of that just trickling into fiscal 2023?
Scott Culbreth: Yeah. Adam, good question. So, really, it’s kind of a push out of projects, literally due to capital products that we’re evaluating, suppliers that we’re dealing with, can’t get the materials to us quick enough that can’t build up out of our capital expenditures. And we did shift at our ERP project to delay of one additional quarter that’s out there. All of those kind of combined together that -- those costs are still being incurred as a business and we will evaluate it, obviously, when we do our next fiscal 2023 plan. But right now those are being viewed as a push out into the next fiscal year.
Adam Baumgarten: Got it. Thanks. And just last one for me just on price, you give us 1Q, you gave us 3Q, 4Q, any color on what -- how price should look in the second quarter, it may be somewhere, I am thinking somewhere in between 1Q and 3Q levels, but any finer point on that would be helpful?
Scott Culbreth: Yeah. You nailed it, somewhere between the 3.25 .
Adam Baumgarten: Got it. Thank you.
Operator: Since I do not see that there is anyone else waiting to ask a question, I would like to turn the line over to Mr. Joachimczyk for any closing comments. Please go ahead, sir.
Paul Joachimczyk: Since there are no additional questions, this concludes our call. Thank you all for taking time to participate.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.